Operator: Welcome to the ManpowerGroup's Second Quarter Earnings Results Conference Call. You will be put into listen-only mode until the question-and-answer time begins. This call is being recorded. If you care to drop off now, please do so. I would now like to turn the call over to ManpowerGroup's Chairman and CEO, Mr. Jonas Prising. Sir, you may begin.
Jonas Prising: Welcome and thank you for joining us for our second quarter 2024 conference call. Our Chief Financial Officer, Jack McGinnis is with me today. For your convenience, we've included our prepared remarks within the Investor Relations section of our website @manpowergroup.com. Let's start by going through some of the highlights of the quarter and Jack will go through the second quarter results and guidance for the third quarter of 2024. We'll then share some concluding thoughts before we start our Q&A session. Jack will now cover the Safe Harbor language.
Jack McGinnis: Good morning everyone. This conference call includes forward looking statements, including statements concerning economic and geopolitical uncertainty, which are subject to known and unknown risks and uncertainties. These statements are based on management's current expectations or beliefs. Actual results might differ materially from those projected in the forward-looking statements. We assume no obligation to update or revise any forward-looking statements. Slide 2 of our earnings release presentation further identifies forward looking statements made in this call and factors that may cause our actual results to differ materially and information regarding reconciliation of non-GAAP measures.
Jonas Prising: Thank you, Jack. We are speaking with you today from our global headquarters in Milwaukee, Wisconsin. All eyes are on our city this week as it hosts one of the major events on the US political calendar. Just a few days ago we were pleased to welcome ambassadors from around the world to a breakfast event. During our time together, we discuss labor markets in the countries, particularly as many of them are undergoing shifts in the political landscape. Based on these conversations and with business leaders worldwide, it is evident that we're in rapidly changing times. Geopolitical uncertainty persists. Technology continues to advance, and the economic rulebook is still being rewritten post pandemic. Still, labor markets remain solid in many areas with relatively low unemployment and layoff activity. Our most recent employment outlook survey of over 40,000 employers this spring found that hiring confidence is holding steady at lower levels compared to a year ago as economics uncertainty continued to give employers pause and economies in Europe and North America are gradually cooling with inflation moderating. Many large enterprise clients are prioritizing hiring for the core skills they need and holding on to the skilled workers they have. At the same time, while the promise of AI is yet to be realized, it is front of mind for businesses across every industry. We are convinced that the potential of AI at scale will only be realized when it augments human capabilities and skills. Many companies recognize this need and are developing their current workforce while selectively adding new talent. Priority is placed on retaining and attracting workers with specialized, flexible skills and an adaptable mindset to adjust to the evolving requirements in the workplace. This focus on workforce development to maximize potential is more evident now than ever. Our business operates at the intersection of worker preferences and employer priorities. Our research tells us that more than six in 10 believe AI and machine learning will have a positive impact on business performance and 70% plan to boost upskilling efforts accordingly. Our surveys also tell us that 43% of workers feel neutral or negative about AI's impact on their jobs and futures.
MyPath: While we have seen a growing focus on workforce retention and development, we have not yet seen the inflection point of widespread demand improvement. But we have seen underlying soft staffing trends broadly stabilize in North America and in Europe, with Asia and Latin America continuing to hold up well. We're convinced that our focus on specialized skills in our manpower business is the right strategy, and early results demonstrate increased demand for midlevel skills within several key end market verticals such as automotive, aerospace, and logistics. Turning to our results, in the second quarter, revenue was $4.5 billion, down 3% year-over-year in constant currency. Our reported EBITDA for the quarter was $109 million. Our reported EBITDA for the quarter was $109 million. Adjusting for final runoff charges of our Proservia business in Germany, EBITDA was $112 million, representing a decrease of 9% in constant currency year-over-year. Reported EBITDA margin was 2.4% and adjusted EBITDA margin was 2.5%. Earnings per diluted share was $1.24 on a reported basis while earnings per diluted share was $1.30 on an adjusted basis. Adjusted earnings per share decreased 12% year-on-year in constant currency. Although the environment continues to be challenging, our business and our people are resilient. Our diversified business mix and geographic footprint are serving us well. We're confident that our strategies are positioning us well for future profitable growth. We continue to reimagine our workflows and processes with the goal to enhance our future productivity and ROI, and we continue to serve as an expert guide for our clients as they adapt to a changing environment. I'll now turn it over to Jack to take you through the results in more detail.
Jack McGinnis: Thanks Jonas. Revenues in the second quarter came in slightly above the midpoint of our constant currency guidance range, as adjusted gross profit margin came in slightly below our guidance range and slightly lower than expected permanent recruitment activity. As adjusted EBITDA was $112 million representing a 9% decrease in constant currency compared to the prior year period. As adjusted EBITDA margin was 2.5% and came in at the midpoint of our guidance range, representing 20 basis points of decline year-over-year. During the quarter year-over-year foreign currency movements had an impact on our results. Foreign currency translation drove a 3.5% unfavorable impact to the U.S. dollar reported revenue trend in addition to the constant currency decrease of 3%. Organic days adjusted constant currency revenue decreased 4% in the quarter in line with our guidance. Turning to the EPS bridge, reported net earnings per share was $1.24 which included $0.06 related to the runoff of our Proservia managed services business in Germany, I am pleased to report the financial impact of the wind down of the Germany Proservia business is now complete and will not impact our results in future quarters. Excluding the Proservia runoff costs, adjusted EPS was $1.30 and came in slightly above the midpoint of our guidance range. Walking from our guidance midpoint, our results included a stronger operational performance of $0.02, lower weighted average shares due to share repurchases in the quarter, which had a positive impact of $0.01, higher tax rate on country mix, which had a negative impact of $0.03, foreign currency impact that was $0.01 worse than our guidance and interest and other expenses had a positive impact of $0.02. Next, let's review our revenues by business line. Year-over-year on an organic constant currency basis, the Manpower brand declined by 2% in the quarter, the Experis brand declined by 7% and the Talent Solutions brand had a revenue decline of 9%. Within Talent Solutions, our RPO business experienced a year-over-year revenue decline, which was a slight improvement from the trend in the first quarter. Our MSP business revenues increased compared to the prior year period reflecting sequential improvement from the first quarter trend, while Right Management also experienced year-over-year revenue growth on higher Outplacement volumes in the quarter. Looking at our gross profit margin in detail, our gross margin came in at 17.4% for the quarter. Staffing margin contributed 10 basis point reduction due to mix shifts and lower volumes, while pricing remained solid. Permanent recruitment including Talent Solutions' RPO contributed 50 basis point GP margin reduction as permanent hiring activity in the second quarter decreased year-over-year.
Outplacement: Moving on to our gross profit by business line, during the quarter, the Manpower brand comprised 60% of gross profit. Our Experis professional business comprised 24% and Talent Solutions comprised 16%. During the quarter, our consolidated gross profit decreased by 6% on an organic constant currency basis year-over-year, representing an improvement from the 9% decline in the first quarter. Our Manpower brand reported an organic gross profit decrease of 4% in constant currency year-over-year, an improvement from the 6% decline in the first quarter. Gross profit in our Experis brand decreased 7% in organic constant currency year-over-year, an improvement from the 16% decrease in the first quarter. Gross profit in Talent Solutions decreased 11% in organic constant currency year-over-year, representing a stable trend from the first quarter. Although RPO volumes were slightly lower in the second quarter compared to the previous quarter, MSP delivered an improved GP trend from the first quarter, while Right Management achieved GP growth on solid outplacement activity. Reported SG&A expense in the quarter was $685 million. Excluding the runoff of our Germany Proservia business, SG&A was 5% lower year-over-year on a constant currency basis. This reflects an average organic headcount during Q2 that was an 11% reduction compared to the year earlier period. We expect our digitization strategy focused on transforming back office functions will drive further cost efficiencies and our corporate expenses reflect this investment. These strategic investments are progressing nicely and are expected to drive medium and long-term productivity and efficiency enhancements across our technology and finance functions worldwide from shared service centers leveraging leading global technology platforms. The underlying year-over-year SG&A decreases largely consisted of reductions in operational costs of $36 million and currency changes of $20 million. Adjusted SG&A expenses as a percentage of revenue represented 15% in constant currency in the second quarter. The final Proservia Germany runoff expense represented $2 million. The Americas segment comprised 24% of consolidated revenue. Revenue in the quarter was $1.1 billion representing an increase of 5% compared to the prior year period on a constant currency basis. OUP was $45 million and OUP margin was 4.2%. The U.S. is the largest country in the Americas segment comprising 65% of segment revenues. Revenues in the U.S. were $697 million during the quarter representing a 2% days adjusted decrease compared to the prior year. OUP for our U.S. business was $27 million in the quarter, representing an increase of 16% after adjusting the prior year for minor restructuring costs. OUP margin was 3.9%. Within the U.S., the Manpower brand comprised 24% of gross profit during the quarter. Revenue for the Manpower brand in the U.S. decreased 2% during the quarter, which was an improvement from the 13% decline in the first quarter. The Experis brand in the U.S. comprised 47% of gross profit in the quarter. Within Experis in the U.S., IT skills comprised approximately 90% of revenues. Experis U.S. revenue decreased 3% days adjusted during the quarter, an improvement from the 6% decline in the first quarter. The U.S. Experis business experienced significant healthcare IT go-live project volumes in the second quarter that are not expected to recur into the third quarter. Talent Solutions in the U.S. contributed 29% of gross profit and experienced revenue decline of 2% in the quarter, stable from the 2% decline in the first quarter. RPO revenue declines in the U.S. reflected a further softening of permanent hiring programs in the second quarter compared to the first quarter. U.S. MSP business accomplished a solid revenue increase, representing an improvement from the first quarter, while outplacing activity within our Right Management business experienced stable trends year-over-year. In the third quarter of 2024, we expect revenue decline to be slightly higher than the second quarter decline for our overall U.S. business, largely due to the completion of the healthcare IT go-live projects in the second quarter. Southern Europe revenue comprised 46% of consolidated revenue in the quarter. Revenue in southern Europe was $2.1 billion, representing a 4% decrease in constant currency. OUP for our Southern Europe business was $83 million in the quarter and OUP margin was 4%. France revenue comprised 56% of the Southern Europe segment in the quarter and decreased 6% in days adjusted constant currency. OUP for our France business was $40 million in the quarter, representing a decrease of 18% on a constant currency basis. OUP margin was 3.4%. Activity to date in July 2024 is largely consistent with trends experienced in the second quarter. We are estimating the year-over-year constant currency revenue trend in the third quarter for France to reflect a slight improvement in the rate of decline from the second quarter trend based on the step down in the prior year period. Revenue in Italy equaled $435 million in the second quarter, reflecting a decrease of 4% on a date adjusted constant currency basis. OUP equaled $34 million and OUP margin was 7.8%. We estimate that Italy will also have a slightly improved constant currency revenue trend in the third quarter compared to the second quarter. Our Northern Europe segment comprised 18% of consolidated revenue in the quarter. Revenue of $837 million represented a 12% decline in constant currency. As adjusted to exclude the runoff Proservia Germany business OUP was $1 million and OUP margin was 0.1%. Our largest market in the Northern Europe segment is the UK which represented 35% of segment revenues in the quarter. During the quarter, UK revenues decreased 15% on a days adjusted constant currency basis. This reflects a slight worsening in the rate of decline from the first quarter on the same basis. We expect a slightly improved rate of revenue decline in the third quarter compared to the second quarter. In Germany, revenues decreased 18% in days adjusted constant currency in the quarter. Our German business revenue trend was impacted by select plant closures in the automotive sector during the second quarter. As previously reported, the financial impact of the wind down of our Proservia managed service business in Germany was completed during the quarter. In the third quarter, we are expecting an improved year-over-year revenue decline compared to the second quarter. The Asia Pacific, Middle East segment comprises 12% of total company revenue. In the quarter, revenues equaled $541 million representing a decrease of 1% in organic constant currency. OUP was $25 million and OUP margin was 4.6%. Our largest market in the APME segment is Japan, which represented 51% of segment revenues in the quarter. Revenue in Japan grew 9% on a days adjusted constant currency basis. We remain very pleased with the consistent performance of our Japan business and we expect continued strong revenue growth in the third quarter. I'll now turn to cash flow and balance sheet. In the second quarter, similar to the prior year seasonal dynamic, free cash flow represented an outflow of $150 million during the quarter. It compares to a cash outflow of $177 million in the prior year. As in the prior year, the outflow was driven by the timing of payables and timing of payments within our large MSP business. At quarter end day sales outstanding decreased by about 3 days to 56 days. During the second quarter, capital expenditures represented $12 million. During the second quarter, we repurchased $371,000 shares of stock for $27 million. As of June 30, we have $3.6 million shares remaining for repurchase under the share program approved in August of 2023. Our balance sheet ended the quarter with cash of $469 million and total debt of $1.1 billion. Net debt equaled $630 million at quarter end. Our debt ratios at quarter end reflect total gross debt to trailing 12 months, adjusted EBITDA of 2.3 and total debt to total capitalization at 34%. Our debt and credit facility arrangements remain unchanged during the quarter as displayed in the appendix of this presentation. Next, I'll review our outlook for the third quarter of 2024. Based on trends in the second quarter and July activity to date, our forecast anticipates that the third quarter will continue to be challenging in North America and Europe. Our forecast for Q3 also anticipates ongoing low levels of permanent recruitment activity. With that said, we are forecasting earnings per share for the third quarter to be in the range of $1.25 to $1.35. The guidance range also includes an unfavorable foreign currency impact of $0.05 per share and our foreign currency translation rate estimates are disclosed at the bottom of the guidance slide. Our constant currency revenue guidance range is between a decrease of 4% and flat and at the midpoint is a 2% decrease. Although the impact of net dispositions is slight, there are slightly more working days in the third quarter this year contributing to 1% additional decrease on an organic days adjusted constant currency basis representing a 3% decrease at the midpoint. This represents a slight improvement compared to the second quarter trend on the same basis. EBITDA margin for the third quarter is projected to be flat at the midpoint compared to the prior year. We estimate that the effective tax rate for the third quarter will be 34%, which reflects the overall mix effect of lower earnings from lower tax geographies in the current environment. As usual, our guidance does not incorporate restructuring charges or additional share repurchases and we estimate our weighted average shares to be $48.5 million. Our guidance also does not include the impact of noncash hyperinflationary balance sheet related currency translation adjustment for our Argentina business and we will report that separately if it is a meaningful amount. I will now turn it back to Jonas.
Jonas Prising: Thank you, Jack. We are committed to adjusting our portfolio, managing costs while making strategic investments in areas we predict will shift the needle. We remain confident in our Diversification, Digitization and Innovation strategy and are making good progress. In digitization we see the potential for AI to produce new workflows, streamline processes and improve the candidate experience. We're already making progress in these efforts with pilots and our recruiter platforms where we're integrating GenAI prompts and taking a learn, adapt and scale approach. Our rich global data will fuel better insights for our clients and candidates and the work we're doing to consolidate data globally and reskill workers in the age of AI is a critical step in building a foundation that is future fit. We know our clients value our expertise in this area and turn to us for guidance.
VivaTech: In June, Talent Solutions was named a Global Leader in Recruitment Process Outsourcing by Everest Group for the 14th year. Everest recognized our strong vision and strategy, the quality of our recruiters and continued investments in innovation. Our consecutive recognitions prove that we are consistent in the quality of our services and delivery strength. New accolades show we are committed to pushing ourselves to achieve more. Recently, we were named by Time Magazine as the world's most sustainable company, the only company in our industry to be recognized and in the top 10 for professional services. For us, sustainability is not a trend or marketing slogan. It's about growing our business in partnership with our clients while helping people to be successful and also caring for the planet, which is vital for our shared future prosperity. Job seekers, clients and partners choose to work with us because of these values and this recognition is a result of our sustainability, champions data-driven approach worldwide as we strive for more transparent reporting and higher global standards year after year. With that, I'd like to close by thanking our clients, candidates and investors for placing their trust in us and our people for dedicating their time and skills to us. Operator, please open the line for Q&A.
Operator: Thank you. [Operator Instructions] Again, our first question comes from Jeffrey Silber with BMO Capital Markets. Your line is open.
Jeffrey Silber: Thanks so much. I wanted to start focusing first on the U.S. You talked about some of the trends in the second quarter versus the third quarter. I know you highlighted kind of the go-live project and Experis. If I take that out, it looks like the trends will be relatively flattish, at least on a year-over-year comparative basis. Can we just get a little bit more color what's going on in the U.S. in terms of the underlying growth there? What your customers are saying, et cetera?
Jonas Prising: Good morning, Jeff. Yes, we were very pleased to see the U.S. come in a bit better in the second quarter, but as you correctly point out, the underlying activities as we project into the third quarter really emphasizes stability. We had some good movement in Manpower and Experis and also in Talent Solutions in the U.S., and we expect that stability to continue. We don't see this at a time of as an inflection point, but broadly seeing stabilization is positive because we feel that the markets have stabilized and that we are able to get some new opportunities in the market, although demand still remains soft in the U.S.
Jeffrey Silber: All right, great. If I could shift over to just worldwide perm. You specifically focused on some of the perm weakness in Europe. Maybe we can get a little bit more color what's going on there and are you seeing anything similar in perm in North America? Thanks.
Jonas Prising: We are seeing stabilization also in perm in North America and in the UK as well, but broadly, I would say perm has come down a little bit more. So it's slightly softer in the second quarter than it was in the first quarter. And when you think about it, it's really playing out in terms of the industry and market dynamics the way you'd expect. Employer confidence is still fragile, and that means hiring will come down slightly and they will prioritize when resources are needed, temporary staffing for manpower, or having additional key consultants for Experis. So you can see that the staffing business across our brands is holding up a better than perm.
Jack McGinnis: Yes and Jeff, this is Jack. I would just add to that progressive perm. As we ended the first quarter, we saw that perm was stronger in Europe and I'd say the development during the second quarter was we saw Europe, particularly, coming down a bit softer in Perm. And I'd say the two markets I would call out where it did soften noticeably sequentially, I would say, would be France and Italy, two of our larger businesses where we have good perm activities. But as Jonas said, I think the U.S. was more in line with our expectations in terms of perm, but I'd say in Europe, it was a bit softer.
Jeffrey Silber: I appreciate the call. Thanks so much.
Operator: Thank you. Our next question comes from Kartik Mehta with Northcoast Research. Your line is open.
Kartik Mehta: Hey, good morning. I wanted to ask a little bit about the pricing environment. I think you indicated that it's still stable and one, are you at all surprised that the market is still stable, considering the pressure that's on revenue? And I'm also wondering on the permanent side, if you're seeing any kind of pricing pressure?
Jonas Prising: Good morning, Kartik. I would say that pricing remains rational. It's always a competitive environment, and the reason we think pricing remains stable is that the underlying labor markets remain solid in almost all of the geographies where we operate. So demand and access to talent is still restrained to some degree and we have seen a moderation of course in wage inflation across the geographies. But the pricing environment and the attractiveness of talent means that we've been able to maintain our pricing discipline and as I mentioned, it is rational overall. We also see that price rationality and stability reflected in our fees on the perm side. It's just that demand for the perm placements is down and we can see that as an effect of both weakness on the demand side and as Jack had just mentioned, most of that weakness, the softening that we saw came out of Europe, but we've also seen it from a candidate perspective. So candidates are less open to changing, so it takes us longer to move candidates into the opportunities and that's really just a reflection of a degree of uncertainty about what's to come and it's also very typical for this kind of the phase of the economic cycle.
Kartik Mehta: And then just your perspective on France, obviously, elections occurred there, a little bit of a change in the political environment and then the Olympics. I'm wondering if either of those are going to have an impact on your business or your outlook on the impact on the business because of those things?
Jonas Prising: Well, first I'd like to say, Kartik, we have elections happening all the time. Of course, in this year, we have a lot of elections going on in various parts of the world. We have a great track record of being able to work with whatever color or version of politics is eventually represented in the government. Clearly, the situation in France is somewhat different because France will either have an interim government that is managing through a split assembly, a minority government that is looking for support either from the extreme left or from the extreme right or a broader majority government that's a coalition of a little bit of left-center as well as right and that causes some uncertainty in France. And the area where we see that mostly reflected is going to be in perm hiring and we saw some of that already emerge. But by the same token, when employers need talent, then they will look for other more flexible options and I think that's also what we're seeing in France. So it is an environment that is a little bit different. In the short-term we don't think it's going to have an impact. We're not at this point too concerned with any legislation ideas that may come. We think the issue in France is mostly an uncertainty on which direction the country is going. Short-term, we think this is manageable and then once a new government is established, we better understand the policies that they will pursue then we'll know a bit more. And as to the Olympics, I think we could expect a little bit of support there and that it could be a little bit of a bump for our French activity. But remember, the Olympics are really impacting the greater Paris region only and it's only for three weeks. So whilst we could expect to see an increase in activity, we think it's going to be relatively limited.
Kartik Mehta: Thank you so much, I appreciate it.
Jonas Prising: Thanks, Karthik.
Operator: Thank you. Our next question comes from Mark Marcon with Baird. Your line is open.
Mark Marcon: Hey, good morning. Thanks for taking my questions. With regards to Experis, we did see some improvement in terms of the year-over-year decline in the U.S. in terms of going from 6% to 3%. But you did mention that it was driven by this big healthcare project which is coming down, so if we strip out that big healthcare project, what's the underlying trend? And how are you feeling about Experis business, both in the U.S. and then globally?
Jonas Prising: Thanks, Mark. Overall, we feel very good about how Experis is positioned and of course, seeing that underlying stability in two of our biggest markets in the UK and notably in the U.S., we see as positive, based on the headwinds that we see now in the sector and especially from enterprise clients over the last 12 to 15 months. We feel good about how we are positioned, especially with convenience clients, so small to medium sized companies, they appear to be holding up a little bit better and demand is a little bit better on that side. But overall, as we look at the market and the demand situation, we think it's pretty stable in Q2 and we're projecting that stability coming through also into the third quarter, so overall stability in the U.S. with opportunities that you saw us take advantage of in the second quarter, projecting the same underlying stability into Q3. Experis globally, with UK stabilizing and other markets stabilizing as well, we think is positive. And we've also seen the enterprise demand stabilize at a lower level because that was the main driver of the significant declines that we saw last year. So we have a point where we believe the employers and our clients are pleased with where they are a little bit in a wait and see position and we are very well positioned to take advantage of an improvement in demand.
Jack McGinnis: And Mark, I would just add in terms of the impact it had on the rates, the trend, in the revenue trend for Experis in Q2, you mentioned down about 3% days adjusted, I think it was down about 2% rounded on a constant currency basis. The healthcare IT was better than we expected. It was strong in Q1. It was even stronger in Q2. It was probably about 2% to 3% of the underlying trend. And if you take that out, it would have been in line with what we were guiding for because we didn't anticipate as much of the healthcare IT, so that was a benefit for us. So that kind of helps you in terms of determining what it would have been without that. But as Jonas said, I think once you take it out, our guide was anticipating stable underlying trends. Healthcare IT helped lift it further, but if you take that out, I think the business is fairly stable at this point.
Mark Marcon: Great. And then can you, Jack this is a question I always have, is this perm is a percentage of gross profit, where does that come in and how are you thinking about that for the third quarter? Because it does sound like perm, particularly with the changes in France, the UK, Italy, in terms of what you're seeing, it might be a little bit lower, so I was just wondering if you could help us there.
Jack McGinnis: Sure. Perm as a percentage of total GP was 15.7% in Q2 Mark, and I know we talked about that last quarter it was a bit higher last quarter, about 16.5%, just above 16.5%. And that's because the first quarter is always a seasonal low point for staffing GP, so it just averages in a bit higher. But I would say on an overall basis, perm dollars trended sequentially slightly lower than they were in Q1, a bit lower in Europe versus our expectations. But as we think about that, 15.7% for Q2, I think that range of about 15.5% is a reasonable range based on what Jonas was referring to in terms of stable trends into the third quarter. So I would use that as a bit of an expectation going forward.
Mark Marcon: Great. And then lastly, Germany, you've wound down Proservia. How should we think about Northern Europe margins? Let's say that things remain relatively stable for at least the next few quarters. How should we think about, the underlying improvement in terms of OUP out of Northern Europe?
Jack McGinnis: Northern Europe, Mark, as you know, is one of the areas where we're seeing the most pressure at the moment. So I'd say the current indication is really a bit of a low point based on the pressure. And I think, as we reported, you saw that the Nordics continued to be an area where we're seeing some of the highest degree of pressure year-over-year. The UK certainly continues to be one of those markets as well. But to your point and to your question, I think we talked about Proservia in the first quarter was a drag of about $7 million to our consolidated results. Now that that is removed, that gives you a bit of an indication of the opportunity here, if you think about that from a run rate perspective in terms of the impact that had on the drag of our Germany operations, the drag of our Northern Europe segment on an overall basis. So I think it removes a pretty significant drag that we had in the business. We feel really good about the prospects for our Germany business going forward. It's performing fairly well in the automotive sector today. Germany, of course, is seeing some overall manufacturing weakness, but I think based on the relative trends in terms of the industry overall, I think we feel good about our opportunities in Germany. So as we go forward, it removes a pretty significant drag and will move Northern Europe back to profitability once we continue to ease out of this slump that we're in currently, and we start to see more traditional trends reemerge for manufacturing and so forth. And so, Northern Europe will be able to surpass where we've been on profitability before the downturn as we go forward.
Mark Marcon: Great, thank you.
Operator: Thank you. Our next question comes from Manav Patnaik with Barclays. Your line is open.
Princy Thomas: Hi. Thanks for taking my question. This is Princy Thomas on for Manav. I just wanted to see if you could talk further about what's driving the greater than expected slowing in perm recruitment and specifically if there is any specific verticals that are impacted more than others that you'd call out?
Jack McGinnis: Princy, thanks for the question. Really, it is pretty straightforward. As I mentioned, Europe I'd say the perm softening in Q2 was really more pronounced in Europe as we ended Q1, Europe was stronger in perm, and that really started to reverse in the second quarter. So the two bigger markets for us, where we saw perm edge down slightly sequentially, I would say, would be France and Italy. Those really were the main drivers. From a sector perspective I think, as Jonas mentioned more broadly in countries like France, we saw a bit of a broader pullback in perm. I wouldn't say it's isolated to any specific sector. I think it's more employer confidence and he talked about the election uncertainty being a bit of a dampener as well. So that's what I would say. I think that's the main drivers. I wouldn't necessarily call out any specific change from an industry perspective over the last quarter.
Princy Thomas: Got it, thanks. And any intra quarter trends around enterprise tech and financial staffing sector that you'd call out?
Jack McGinnis: No, I think from a sector perspective, Princy, I think generally the trends that we talked about last quarter are for the most part holding kind of in line with the trends in terms of stability overall. What that means in the scheme of things is auto continues to be more solid. Although auto has been leveling off a bit, it is still holding up better than the rest of manufacturing. I would say the manufacturing sector ex-auto continues to be much more sluggish. And to your point, enterprise tech, although it has stabilized, it continues to be an area of very sluggish demand and running at stable levels, but lower levels, of course overall. And I think maybe the last one to your point, financial services, although financial services was a bit of a strength from a sector perspective a year ago, towards the end of 2023, and here in the first half of 2024 we've seen financial services pull back a bit, so financial services has been trending a bit weaker. With that being said, I think as we mentioned in our prepared remarks, one area that has been a strength is healthcare IT, and we certainly saw that in the U.S. business in the first half of this year. Maybe one other one would be aerospace has been strong in Europe, in France particularly, but I'd say that's pretty much the roundup from a sector perspective.
Princy Thomas: I appreciate the color.
Operator: Thank you. Our next question comes from Josh Chan with UBS. Your line is open.
Josh Chan: Hi. Good morning, Jonas and Jack. Thanks for taking my questions. I was just wondering if you could speak broadly about the trends over in Europe. I think kind of going into the quarter, there were some concerns that maybe there will be some incremental softening in Europe in the second half. But it sounds like from your guidance in Q3, France, Italy, UK, it doesn't seem like you're seeing any incremental softening. So just kind of curious what you're seeing kind of on the ground in Europe. Thank you.
Jonas Prising: I think you've described it well, Josh. You have a couple, you have France, which is slightly weaker, but you had Italy that did a little better. We always expected Northern Europe to be the most challenging, and that turned out to be true. Especially in the Nordics we saw some continued weakness, but stepping back from it all, you are seeing Europe as stable in terms of our activity at a lower level and we've now seen a first rate decline this morning and the ECB decided to hold the rate steady. The inflation rate in Europe is coming down, so underlying inflation rate is about 2.9% coming down. The U.S. is at 3.3%. So everything that we would expect to see happening in this economic cycle is sort of playing out. The economy is cooling, labor markets are cooling, though remain solid, and we are seeing it impact our markets in terms of the demand for temporary staffing and of course, a bigger impact on permanent. All of these are dynamics that we would expect to see in an economic cycle and frankly, it's playing out the way we as an industry have navigated challenging times like this before. So although we don't see an inflection point at this time, we're hopeful that it's not a question of if, it's a question of when the inflection point occurs. And our task is, of course, to stay ready for the upturn and manage the current environment at the same time. And we do that by investing in sales resources to generate demand above and beyond what the market gives us, managing our SG&A and really doubling down on the investments in transformation. So during this time, we've really increased our effort on the digital transformation sides, in the front office, the back office, and we are making some excellent progress, also from the client facing and candidate facing properties such as mobile and web. And that we think is going to be really good for us going forward because it really means we have a unique and global digitized technology infrastructure which will help us implement, of course, innovation and GenAI and other aspects as well, as well as driving common processes across our business globally.
Josh Chan: That's good color. Thank you for that, Jonas. And then maybe a margin question for Q3. I think normally the business has a seasonal margin uptick in going from Q2 to Q3, but that seems to be more muted this year. Just curious, what are some of the offsets that's causing the stable margins going from Q2 to Q3? Thank you.
Jack McGinnis: Josh. Yes, I think you're right. In normal environments, you generally will see the second half be a bit of a better margin opportunity. I'd say last year that didn't happen. Last year we went down in GP margin from Q2 to Q3. Of course, we were seeing declining trends as part of that. And I think the big part of the equation was perm coming down, and I'd say it's similar this year. I think we're not coming down sequentially Q2 to Q3, we're holding at that 17.4%. So what that really means is we're seeing perm level off, starting to stabilize into the mix, kind of going back to the question we had earlier in terms of the expectations for the perm mix as total GP. So that's what's happening with GP margin. So that 17.4% is the midpoint of our guide for Q3, so I'd say stable overall. I would expect as we start to see improving trends, you'll see perm start to pick up again, and that will give us some opportunities for increases in GP margin as the mix starts to move back in. And then, of course, as Experis and Talent Solutions start to get back to growth, you'll see them average in, in the mix at larger percentages as well and that will improve the GP margin when the recovery starts to take hold. So those are some of the dynamics in terms of the margin overall. But I'd say really what we're seeing Q2 into Q3 is really more stable underlying trends, and I think that means for the mix as well, and that's why you're seeing the GP margin hold fairly stable.
Josh Chan: Great. Thank you, Jack, and thank you both for your time.
Jonas Prising: Thank you, Josh.
Operator: Thank you. Our next question comes from Trevor Romeo with William Blair. Your line is open.
Trevor Romeo: Hi. Good morning. Thanks so much for taking the questions. First one, I kind of just wanted to follow up on the U.S. a bit. I think we talked about Experis, but on the Manpower brand in the U.S., it was a pretty nice improvement in the trend for revenue from that, I think, down 13 last quarter to down 2 this quarter. So I was just curious if there was anything in particular you'd call out there, whether it's specific verticals or client groups that are performing a bit better, or does it seem like you're starting to see signs of a little bit of a broad improvement there?
Jack McGinnis: Yes, Trevor, thanks for the question. I'd say the thing to keep in mind with the Manpower business very similar to the Experis business was Q2 a year ago was the weakest point in terms of overall year-over-year decline. So we're lapping that, and that's part of the equation. We did go from minus 13 to minus 2. So I think we've seen some very good progress in the Manpower business in the U.S. again, but in line with what Jonas was talking about in terms of stable on an underlying basis, so that stable progress we've been making is walking into improved trends year-over-year. And with that being said, I think we feel really good about the prospects for the U.S. Manpower business. There have been some very significant wins that are in the pipeline. I think in this environment, it's always a question of when those wins materialize, but we're working through that and so we're very encouraged by that. The U.S. business has been working very hard on their pipeline, so I think we feel really good about the prospects. I think it's going to come down to employer behavior and when they start recommencing some of their programs before we start to see that manifest itself into a meaningful improved trend. I think in the meantime, we're expecting more stability in the underlying volumes into Q3.
Trevor Romeo: Okay, thanks, Jack. That's helpful color. And then just quick follow up on Northern Europe. It seems like maybe the Netherlands and Belgium are continuing to hold up a bit better than some of the other countries in that region. Just curious if you could talk about what you're seeing there, whether it's kind of just a little bit better market environment than some of the other countries or something specific that Manpower is doing to execute well there?
Jack McGinnis: I think the underlying situation remains that the markets remain very challenging, both the Netherlands and Belgium. Our teams there are doing a good job. They're holding the line. They're performing a bit better than market, which is a testament to the investment that we've made in sales and building some of that sales pipeline. But the overall market is still challenged and they are still really trying to get back to a position of year-over-year growth over time. So I would say the teams are doing well. We see stability and slight improvement in those markets, and we're projecting that stability continue also into the third quarter. But the teams are doing a good job in those markets.
Trevor Romeo: Okay, thank you both very much.
Operator: Thank you. Our next question comes from Stephanie Moore with Jefferies. Your line is open.
Stephanie Moore: Hi. Good morning, thank you. I wanted to go back to some comments that were made kind of early in your prepared remarks, specifically talking about how your clients are prioritizing hiring for kind of the core skills they need. You made a point to kind of highlight the priority placed and retaining attractive workers with specialized and flexible skills, particularly with the onset of AI and technology innovations and the like. So I'm just trying to kind of maybe dig into those comments a little bit more. So from your conversations with employers, are they simply able to get by with less employees because of the skillsets they hired the last few years in their own technology expectations? I guess I'm just trying to rationalize this current environment and simply employer hesitancy because of the lack of confidence in the economy and what also could be just a structural hiring mindset change that we're seeing right now, so any color there would be great.
Jonas Prising: Sure. And so Stephanie, I think what employers are prioritizing right now is retaining their existing workforce. They have a very painful memory in the U.S. of a major workforce dislocation during the pandemic, a huge spike in unemployment, and great difficulties finding talents with very strong wage inflation the two years following the pandemic. And so they hired a lot of people, paid a lot of money at high wages to bring those people in and they've been through all of the changes that you've seen in the economy during the pandemic, post-pandemic spike of inflation. So their priority is to retain the workforce that they have and develop that workforce. Then they decide that they have seen a buildup of inventories in many cases in advance of or in response to the shortages you saw during COVID. So from a manufacturing perspective, and a PMI is below 50, both here in the U.S. and further below in Europe, they're now working off that inventory they built up to be able to satisfy the significant orders that they had received during the pandemic and post-pandemic. So they're working off those inventories. They are servicing the markets and their client markets with the staff that they have. Of course, they are still maintaining temporary staff as well as consultants from Manpower and Experis, just as we are seeing. They're just not increasing them to any noticeable degree because they can manage in this current environment. And although our economic growth in the U.S. is still good, if you look at various sectors, you see that manufacturing has a tough time and many other industries have a tough time. The areas that are really generating growth are in government, it's in healthcare, to some degree, still hospitality, because the consumers are still strong and purchasing experiences more than goods, although consumers are trading down just as you would expect in a cooling economy. So I would not see this as a structural change in hiring. Frankly, when I look across the world and I look at what other regions are doing, where the economic cycle is playing out, be it the continued good evolution in Latin America and in Asia Pacific, we see hiring demand on temporary and on permanent, just as we would expect we would in those kinds of economic environments. The economic downturn in Europe really started at the beginning of 2022 and, our industry has seen that inflection point play out, just as we have seen in other cycles, maybe with a bit of a lag on the perm side for a bit longer, but now we're seeing stability on the staffing side, a little bit more pressure on perm. And frankly, we would expect the same traditional dynamics to play out also here in the U.S. when we see a more stable environment, manufacturing returns and overall employer confidence start to improve as well. Staffing starting to move before perm, and then perm follows after that as the payrolls are being added to on a permanent basis, whether it be in commercial staffing or in professional staffing. So we don't see this as a structural shift step. We really see this as the dynamics playing out as we would expect them to. The anomalies, I think, come from the fact, as you look at our industry in the U.S. in particular, that we had a long period of very good and strong growth. And we as an industry saw a downturn almost, 20 months ago without a recession. I think in the last six months we've seen the traditional dynamics play out, a cooling labor market, a cooling economic growth. As an industry, we've seen some cooling and then stabilization, so all of this for us indicates that this is traditional staffing, industry dynamics playing out just in slow motion here in the U.S. and we feel good about how we're positioned for when the economy and the underlying elements of the economy really start to stabilize and move in a positive direction for us.
Stephanie Moore: Got it. No, I think that actually makes a lot of sense. It's very clear. I'm curious, when you kind of have your conversations with a lot of these employers or your customers and they kind of just talk about everything that you just outlined, which is very clear, do they give any indication of what level of maybe underlying macro improvements that would require them to be a little bit more aggressive on their hiring? I think at this point they did hire quite a good number of people. They had to pay a lot for those employees. Now those employees are becoming even more tenured in these positions. I'm just wondering, in the eventual recovery, which I'm sure we'll see at some point, how strong of a recovery are we going to need to see for there to be kind of a material pickup and kind of demand again, if that makes sense?
Jonas Prising: Well, I think it's hard to say what kind of curve we would think about, but I would say this, the inflection points can be many different things. We have geopolitical uncertainties. We have elections going on in various parts of the world. We have an expectation of interest rate declines here in the U.S. The ECB, as I mentioned earlier, has started, of course, the first rate decrease since 2019. The expectations are that the Fed would do the same. So it could be one or the other of all of these things put together that really start to kick-start it. And I would say from a manufacturing perspective, many of the clients that we've spoken to are working off excess inventory that they accumulated in response to this glut of orders that came out during and after the pandemic. And many of the clients that we talk to say that, no this is something that we expect to largely have worked through over the course of 2024 and with the external macro indicators that I mentioned, and that in combination makes us believe that we'll see some improvement, but the slope of that improvement is very hard to predict. I think it will very much depend on the industry that you're in and what each of those industries are seeing in terms of opportunities.
Stephanie Moore: Great, thank you so much.
Operator: Thank you. And we have time for one last question, and that question comes from Andrew Steinerman with JPMorgan. Your line is open.
Unidentified Analyst: Hi, good morning. This is Stephanie E [ph] stepping in for Andrew. I have a similar question, kind of to the last question, but we have seen this disconnect between U.S. temporary help being down and GDP and non-perm payroll being up in the U.S. It sounds like; correct me if I'm wrong, that maybe the biggest driver, in your opinion, is full-time labor hoarding. Do you think that fully reverses when things improve? And also, are you seeing that same hoarding dynamic in France?
Jonas Prising: Thanks for the question, Stephanie. No, as I just explained, we don't think this is a structural shift in hiring dynamics. We think this is an effect of pandemic anomalies that we really expect to not see normalizing. And frankly, over the last six months, we've really seen what we would characterize as a normalization of the trends that we would expect. That, of course, does not explain the preceding 14 months. But frankly, I think your comment on labor hoarding or the fatigue that employers have in terms of having had to hire so many people in such difficult sectors circumstances post-pandemic, really makes them hesitate when it comes to any major shifts in their current workforce. And as they look out, the likelihood of a deeper recession appears to be becoming less likely, even a lighter recession maybe is less likely, and a soft landing is likely would give them even more reason to say, look whatever softness we're seeing right now, we'll just tough it out and we won't -- we'll be very careful with our overall expenses, reduce SG&A, not replace levers to the degree that we would have, not start projects as aggressively as maybe we would like to do during the transformation and live with what we have for now. But all that being said, we expect traditional industry dynamics to kick back in once they feel that their environment improves, that they're confident it's going to be sustainable, and that's, I think, when we as an industry, and also, of course, from our perspective, for Manpower, Experis and Talent Solutions could see some of that. We've seen that stabilization that we've been hoping for over in the second quarter we're projecting the same into the third, and we are making sure we are ready for when the inflection point comes so that we can take advantage of it and really get going on some improved, profitable revenue growth.
Unidentified Analyst: Okay, very clear, thank you.
Jonas Prising: Thank you. And that brings us to the close of our second quarter earnings call. Thanks again for all of your interest and questions. We look forward to speaking with you again in our Q3 earnings call in a number of months from now. Until then, enjoy the rest of the summer. Keep watching Milwaukee shine in all of the various media coverage that I'm sure you're seeing, and we look forward to speaking with you again soon. Thanks, everyone.
Operator: Thank you for your participation. You may now disconnect. Everyone have a great day.